Operator: Good afternoon. My name is Carrie, and I will be your conference facilitator today. At this time, I would like to welcome everyone to the Live Nation Entertainment Fourth Quarter and Full Year 2011 Earnings Conference Call. Today's conference is being recorded. [Operator Instructions]
 Before we begin, Live Nation has asked me to remind you that this afternoon's call will contain certain forward-looking statements that are subject to risks and uncertainties that could cause actual results to differ, including statements relating to the company's anticipated financial performance, business prospects, new developments and similar matters.
 Please refer to Live Nation's SEC filings, including the risk factors and cautionary statements included in the company's most recent filings on Forms 10-K, 10-Q and 8-K, for a description of risks and uncertainties that could impact the actual results.
 Live Nation will also refer to some non-GAAP measures on this call. In accordance with SEC Regulation G, Live Nation has provided a full reconciliation for the most comparable GAAP measure in their earnings release. The release, reconciliations and other financial or statistical information to be discussed on this call can be found on www.livenation.com/investors.
 It is now my pleasure to turn the call over to Mr. Irving Azoff, Live Nation Entertainment's Chairman of the Board. 
Irving Azoff: Thank you, operator, and welcome, everyone, to our fourth quarter 2011 earnings call. Joining me today are Michael Rapino, our CEO; and Kathy Willard, our CFO. I will begin the call with some brief comments and then turn it over to Michael, who will review our fourth quarter and 2011 full year results.
 Despite the difficult global economic environment for discretionary consumer spending businesses, we continue to deliver improved results and make significant progress towards achieving the goals set following the merger of Live Nation and Ticketmaster in 2010. The strong concert performance and improvements to our Ticketing platform, e-commerce capabilities, online advertising and sponsorship businesses will be covered in more detail by Michael.
 The continuing enhancements to the Ticketmaster systems for our new dynamic pricing tools, LiveAnalytics, Interactive Seat Maps and improving technologies are being well received by our clients and also by consumers.
 In addition to my broader role at Live Nation, I continue to lead Artist Nation, including Front Line Management. Our key artists have been far more active during 2011, delivering improvements in management business results for the year of 36% above last year. Despite some slippage of a few key artist tour plans to 2012, 2 of these, Van Halen and Neil Diamond, already have tours underway and are doing terrific business. Several acts like Jason Aldean have had amazing breakthroughs this year. The Eagles, Jimmy Buffett, Journey, Steely Dan and many of our vintage acts continued their strong tour performances during last year. We continue to sign major superstar talent like Mariah Carey, and we concluded a multi-rights deal with Sony and Nickelodeon for the incredibly hot tween band, Big Time Rush.
 As reported previously, the improvement in our management business has been offset by higher cost this year in the Live Nation merchandise business, identified as we continue to integrate and restructure our 2 merchandise businesses. We've successfully integrated the group's various VIP Ticketing businesses and look to more effective and profitable results from these going forward.
 So thank you again for your support, and I look forward to updating you to our progress on the next earnings call.
 And now I'd like to turn this over to Michael for his remarks. 
Michael Rapino: Thank you, Irving. Good afternoon, everyone. Looking back on 2011, we set out to grow profitability in our core businesses, invest in our Ticketing platform and start to launch innovative products to better serve and engage the fans.
 Taking a look at the scorecard a year later, we delivered on this mission. We grew revenue and AOI in each of our businesses. We turned concerts around and doubled AOI; improved Ticketmaster profitability for the first time in 5 years; grew sponsorship AOI by 12% and e-commerce AOI by 41%; and as a result, delivered overall revenue growth of 6% and AOI growth of 21%. Free cash flow grew 23%, demonstrating our ability to convert AOI into cash. We launched new innovative products such as Facebook seat maps, Live Nation apps, GrouponLive, LiveAnalytics, Pricemaster and upgraded our ticketmaster.com checkout. 
 In 2012, we will build on our 2011 successes and continue to focus on the key strategic drivers that will grow our business. Number one is to continue to grow our core businesses through better cost execution and expanded revenue; two is to launch innovative products at both Ticketmaster and Live Nation that drive fan engagement and conversion; three, to invest in our Ticketmaster technology re-platform; and four, to continue to expand into untapped global markets.
 Now I'll take you through our divisional updates. On the concert side, in 2011, I spoke that I expected that year to be one of stable demand despite economic uncertainty, with growth being driven by a proved execution, and that is exactly what we delivered in 2011.
 And 2007 (sic) [2011] highlights. We expanded our portfolio of festivals, electronic and geographic markets; we launched 10 new festivals; we moved strongly into the electronic music space, promoting 148 electronic concerts and festivals during the year to nearly 700,000 fans; we launched a North American electronic amp tour called Identity; and invested through Roc Nation's 360 management, a leading electronic management company, which represents 18 artists; and finally, we continued to expand globally by launching offices in Korea and Croatia.
 Our second priority was to create a new distribution platform for distressed tickets with casual fans, and together with Groupon, we launched GrouponLive and sold 1.1 million tickets.
 And our third priority at Live Nation was to launch our Live Nation app and mobile site. The app now has been downloaded by over 3 million fans, and we have sold 2 million tickets across our mobile platform and growing. The app was a great step in our mission to engage the concert fan directly. In that app, we had features that tested mobile concessions at 16 of our amps. And the app also featured an -- in-venue live sets and concert feeds from over 2,700 concerts. We sent nearly 9 million last minute ticket alerts to iPhone fans on day of show by scanning their library.
 Looking forward to 2012, we expect to see continued strong consumer demand, enabling us to continue to build our concert portfolio, promote more concerts, sell more tickets and increase profitability.
 The 2012 pipeline looks strong across all channels. On the festival side, I expect us to have one of our best global festival lineups in 2012. We have great headliners in place, such as Bruce Springsteen, Black Keys, Pearl Jam and Rihanna, all selling very well. On the arenas and stadiums side, it looks to be another great year with global acts such as Lady Gaga, Coldplay, Nickelback, Roger Waters, Van Halen and Madonna selling well and more to come. And our amphitheater lineup looks strong so far. We've got a diverse lineup from Brad Paisley and Jason Aldean, the Big Time Rush, Lil Wayne and Drake, and classics like Dave Matthews and Jimmy Buffett. So overall, we expect a strong year for all of our global channels.
 In terms of focusing strategically in the concert division, we'll continue to focus on these areas: continue expansion of our portfolio; we will launch a handful of festivals in 2012 from North America and both global, which will bring our total to 50 total global festivals and continue to make us the leader in global production of festivals; we'll continue to expand our electronic music genre, which is an exciting new genre of music, and we'll continue to aggressively grow our management, festival and touring business in that space; and we'll continue to look for geographic expansion in areas such as Asia, Latin America and Eastern Europe, and today's announcement of our joint venture in Japan is another continual step in that expansion strategy.
 We'll also continue on our livenation.com and Live Nation app updates. We brought in a new team from BigChampagne to elevate our Live Nation online and mobile channels, to drive even greater fan engagement with the avid concert fan. And you can expect new releases coming on both of those channels this year, which we think will continue to drive sales and engagement.
 And we're ready to finally roll out our dynamic pricing or what we call Pricemaster for our concert division. This year, the concert team will implement Pricemaster and dynamic pricing tools for most of our amphitheater shows, and we already have 100 of those shows confirmed by artists.
 When you look at 2012 concerts in whole, the industry looks strong. It seems to be rebounding back globally, and I expect us to continue growing the Live Nation business across this entire concert ecosystem, engaging more fans to drive ticket sales and servicing artists from clubs to stadiums around the world.
 Our sponsorship and online division continues to be one of the strongest stars in our portfolio, driven mostly by the incredible robust concert lineup that hinges off our sponsorship strategy. We delivered on expectations in 2011 in group sponsorship AOI, 12%; and online, 33%. We broadened our categories and extended our global platform to such brands as American Express, Starwood, Hertz, Vodafone and Citi. And our online advertising doubled in size to 33% growth, and we continue that to continue to grow strong in 2012.
 In 2012, we will continue to grow and add more global strategic partners, continue reinventing our festival and amphitheater product lineup to attract sponsors, and we expect continued double-digit growth online and mobile ad sales as we deliver richer and stronger engagement of both Live Nation and ticketmaster.com on our mobile sites. So 2012 for our advertising sponsorship business continues to look strong, with strong runway ahead of us and AOI growth expected.
 Ticketing. It's been over 2 years since we completed the acquisition and merger of Ticketmaster, and I believe the progress we have made with this business can be summed up with 2 points: first, Ticketmaster's AOI grew 18% year-over-year in 2011, the first time in 5 years; and second, Ticketmaster was just named by Fast Company as one of the top 10 innovative companies in music, after being considered a technology laggard for the past decade. What I'm most proud about is that we accomplished both of these feats at the same time.
 And 2011 highlights. We achieved a net renewal rate of 102% across our 12,000 venue base, demonstrating both the value of the customer, place and working with Ticketmaster, as well as the strength of our platform, and we continued to invest in several key areas. We launched our 3-year program to re-platform Ticketmaster's technology. As part of this effort, we hired over 100 expert technology employees from the Googles, Amazon, Microsofts of the world, and we now have deployed several pieces of this core technology and infrastructure in our reporting tools for our clients.
 Also we launched an incredible, aggressive social program this year. Given the natural engagement of the fan on the social platforms, we invested to create some innovative products at Facebook from our RSV [ph] to Interactive Seat Maps to our recent app in-store purchase at Facebook.
 And finally, we made data a priority in 2011. We invested first in our data consolidation. We consolidated 9 data sources into 1 data warehouse to power our LiveAnalytics, and now have a database of over 200 million fans, in which 110 have opted in to get e-mails marketing from us. We launched our LiveAnalytics company and now engage with over 50 customers, including 23 major league teams signed up for this service. And we completed our initial development and launched our dynamic pricing tool, Pricemaster.
 In 2012, we'll continue on similar strategies. Number one priority is always to maintain our retention rate on our customers. Second, we plan on delivering double-digit growth in our secondary business. We are committed to working with artists and teams to further educate fans on the benefits of validated ticket exchanges. Third, we will follow up on our Live Nation app and launch Ticketmaster apps across all of the platforms in all of our markets, with our Ticketmaster app recently just launched at iTunes. And finally, we are entering Tier 2 of the 3 of our investment in our re-platform of technology, building a "state of the art" ticketing technology platform. This year, we plan on launching new search and inventory services, along with additional venue reporting and yield management tools as the start of some new products that come from this re-platform.
 Overall, I'm very excited about Ticketmaster's potential. While I expect the addition investments in mobile and our ticketing system will limit AOI growth in 2012, as the market leader we have stabilized the business and created a new vision and road map for long-term growth.
 Before we head off into the final summary, I want to give you an update on where we are in ticket sales, both for '11 and where we stand as of kind of today. In 2011, Ticketmaster sold 140 million tickets, which is an 11% increase year-over-year. Live Nation global concerts sold 47 million tickets, which was flat versus 2010. Basically as we outlined throughout the year, we cut over 2 million amp tickets as we focused on profitability versus revenue in 2011 in our concert division.
 In 2012, we're off to a great year. At Ticketmaster, sales through February 19 were still up over 3%. The industry had a very strong January, with 7% growth year-over-year led by sales for the NBA, soccer and concert on-sales. February through the 19th was down 3%, with fewer major on-sales in February. But we expect that these months smooth over year-over-year, that 2012 will finish up in single digits growth versus 2011.
 On the concert division, through February 19 of this year, Live Nation concert sales were up 22% year-over-year, outpacing Ticketmaster concert industry, which is down 8%. North American concert sales are up 28% and International concert sales are up 13%. To give a bit more color on fan demand in Europe, ticket sales for our 2012 European festivals were up 14% compared to where they were last time this year. We have benefited early this year from tremendous fan demand for Madonna, Coldplay, Roger Waters, Van Halen and others, and we believe 2012 will be a great year with year-over-year low single-digit growth when timing of on-sales levels out.
 In summary, if you look at 2012, our 4 core businesses of concerts, Ticketing, management, and advertising have on a lot of global runway ahead of them. And as we start to see the fruits from injecting a fan-focused vision, these assets will continue to have incredible potential to grow globally. We are the leader in these core businesses and believe we will continue to be the leader. And as we innovate with the fan and engage them more and convert more ticket sales, we believe we have an incredible growth of runway for all of these businesses in 2012 onward.
 I'll turn it over to Kathy. 
Elizabeth Willard: Thank you, Michael, and hello, everyone. We are pleased with our results for 2011 as we delivered growth in all our key financial metrics. Revenue, adjusted operating income, operating income, net income and free cash flow are all higher. And once again, we have improved our gross margins, AOI margins, operating margin and net margin for the year. 
 As we've discussed, we believe the full year results are the most accurate gauge of our performance, given fluctuations in concert and ticket on-sale timing. I will get into the specifics, but as a top line, we delivered solid revenue growth and significant improvement across AOI, operating income and net income.
 For the full year 2011, revenue grew 6% to $5.4 billion, with revenue growth across every one of our segments. Concerts revenue grew by 2% on slightly increased show count and roughly flat attendance. Ticketing revenue was up 14%, driven by the increase in ticket sales. Increased online advertising and up-sell activity, along with higher online ticket sales, drove a 64% increase in e-commerce revenue during 2011. And lastly, sponsorship and Artist Nation delivered strong revenue growth over last year from new sponsorship relationships and higher touring activity by our managed artists.
 For the year, adjusted operating income increased 21% to $438 million. The concert division doubled AOI year-over-year, as we executed better on our core arena and amphitheater platforms, while expanding our portfolio and investing close to $10 million in new festivals. Ticketing AOI was up 18% due to increased ticket sales and the 2012 London Olympics. We are pleased that we delivered this profitability growth in ticketing, while also making a substantial investment in the Ticketmaster technology re-platforming project. E-commerce grew AOI 41%, largely as a result of increased advertising and up-sell revenue, while also investing in social and mobile products. And sponsorship also delivered double-digit AOI growth, up 12% as we continue growing this business while maintaining its strong margins.
 Our operating income for the year was $18 million compared to an operating loss of $64 million in the prior year. $75 million of this $82-million overall improvement was driven by our higher AOI.
 Overall, our net income during the year improved by $145 million to a net loss of $83 million. This improvement came from $82 million in higher operating income, $40 million in income tax benefits associated with our Front Line acquisition and the $21-million debt issuance cost write-off in 2010. 
 During the fourth quarter as compared to last year, we've improved our gross margin to 31%. Our AOI margin has stayed relatively flat at 4.3%. Our operating margin improved by 1.3%, and our net margin was up 1.7%. Total revenue for the fourth quarter was $1.2 billion, a decrease of 4% compared to last year, driven by a decline in global touring activity and concerts, since U2 and Lady Gaga were out on tour in the fourth quarter of 2010. So we had no similar activity this quarter.
 As we previously indicated, our concerts have substantial timing fluctuations and trends need to be looked at over a longer cycle than just one quarter. All segments other than concerts delivered revenue growth in the quarter.
 Adjusted operating income for the fourth quarter was $51 million compared to $57 million in the prior year. Although our operations improved for the period, the decline in AOI was driven by higher legal costs related to the live concert anti-trust litigation and an increase in performance-related compensation. 
 As of December 31, we had total cash of $844 million, which includes free cash of $335 million. The remainder is made up of $374 million in Ticketing client cash, and $135 million in concert event-related cash. 
 Overall in 2011, we delivered $136 million in cash flow from operations. We then invested $108 million in capital expenditures and $55 million in acquisitions. We also made debt payments of $32 million, and increased cash $24 million from equity distributions, assets sales and FX benefits. In that result was a slight decline in our free cash year-on-year of $35 million.
 On our investments, those acquisitions in CapEx have defined investment criteria, which requires a return in excess of the projects' risk adjusted WACC threshold. Our major acquisitions in 2011 were ticketing businesses in Spain and D.C. and Hewitt/Silva concert promotions in California.
 On CapEx, as I said in the past, our ongoing run rate of spend is about $100 million, deployed between maintenance and growth CapEx. In addition, starting in 2011, we will have a 3-year increase in CapEx due to our Ticketmaster technology re-platforming. This project increased our CapEx by about $50 million in 2011, and we expect the total CapEx to investment -- total CapEx investment to be approximately $75 million and AOI investment of approximately half this over the 3 years of the project.
 Obviously, we have substantial monitoring in place for a project of this size, and have engaged a big 4 accounting firm to conduct regular audits on the project. And as of yesterday, the report was that it remains fully on track to achieve its objective. As a result, we expect total CapEx for 2012 currently to be approximately $125 million.
 Turning back to cash for the full year, our free cash flow was $203 million compared to $165 million in 2010. This increase in the year was driven by the improvement in AOI of $75 million, partially offset by higher interest and maintenance capital expenditures. We don't expect either of these issues to be an offset in 2012.
 The main difference between cash flow from operations and free cash flow are working capital requirements which were a $148-million use of cash in 2011. There were 2 primary drivers of this increase: First, event-related deferred revenue declined $80 million during the year, driven by on-sale timing of a handful of key acts. In 2010, we sold over 1 million U2 tickets alone for 2011 shows, while we had a much lower volume of 2011 ticket sales for 2012 shows. However, to give you some comfort that this is a specific timing issue, in the month of January 2012, our deferred revenues have increased by $87 million, and given our projections of slight growth in concert ticket sales, the numbers should even out.
 The other 2 factors impacting working capital are timing of collection of the tax receivable, which has now been received, and timing of artist and venue advances. Money, we believe, is well spent to lock in these artists and venues for the company. Right now, we don't expect working capital to increase for the year.
 As of December 31, our total current and long-term debt including capital leases was $1.7 billion with nothing outstanding on our revolver. We made $32 million in debt repayments in 2011. Our weighted average cost of debt excluding debt discounts and premiums is 6%.
 We continue to remain comfortably in compliance with our debt covenant requirements under our credit facility. As of December 31, our total debt-to-EBITDA ratio was under 4x versus the maximum 4.5x. And our interest coverage ratio was over 4.4x versus the minimum ratio of 2.75x.
 Through 2011, 40% to 50% of our AOI was generated outside of the U.S. These non-U.S. income, however, is fairly evenly split across the euro, British pound, Canadian dollar and all others, so we do not face high concentrations in any one currency. As in the past, we continue to hedge artist contracts to cover our exposure when artists are paid in the currency different than the currency the tickets are sold in.
 We are very pleased with the results we have delivered in 2011 and remain confident in our ability to deliver growth in 2012. As Michael mentioned, continued improvement in profitability will be a key focus for the management team in 2012, and we expect this to be driven by continuing to build out our concert portfolio. We expect this to deliver a low single-digit increase in attendance. We will continue growing our advertising and sponsorship network. We expect our advertising to maintain its momentum of strong growth in 2012, and we will invest in our Ticketmaster business. We expect overall ticket sales to be flat to slightly up in 2012. And while we plan on achieving improved operating efficiency, we expect that this will be substantially offset by our increased investments in the Ticketmaster technology re-platforming and mobile and social product.
 We thank you for joining us today for our fourth quarter and full year 2011 update. And we will now open up the call for questions, operator. 
Operator: [Operator Instructions] And we'll take our first question from David Joyce with Miller Tabak. 
David Joyce: Questions on the ticketing. You've excluded the London Olympics from the metrics in the press release. Is there a -- could you talk about any sort of different economics related to that or why you would have excluded them? Is just -- is it just really skew the comparability? 
Elizabeth Willard: We are just -- we're paid a fee on each ticket we sold. Those have been excluded all year. So there's no change in that methodology, David. We're just trying to make that clear that those are not in the ticket sales. 
David Joyce: Okay. And in November, you had discussed the headwinds for the fourth quarter of the lack of NBA game ticket sales and the lack of the Wickeds, new shows, but it looks like you more than made up for that. What would you attribute that to? 
Elizabeth Willard: It's overall. Obviously, the timing of the NBA lockout was not as impactful. The concert ticket sales were, but overall Ticketmaster had higher ticket sales than we had expected at that time, and we're very pleased with the reduced impact of the NBA. 
David Joyce: All right. And finally, if you could just clarify... 
Michael Rapino: I'm sorry, David. David, just to add to that. As you can see, it was a -- we've had an early start to the concert year in general. So both December and in January, a lot have be-gone sales have happened, which is great for our business. So they got some relief from the concert side to cover up for the NBA fall. 
David Joyce: Understood. Okay. And just some final clarification on what you said, Kathy, that the ticket sales would be flat to slightly up this year. But you said there would be an offset for the investments in mobile and platform. You mean an AOI offset because of -- you were talking about the AOI impact from this one... 
Elizabeth Willard: Correct, the investments in the business that go through operating expenses from Ticketmaster. 
Operator: And we'll take our next question from Ben Mogil with Stifel, Nicolaus. 
Benjamin Mogil: Kathy, in your comments that you expect ticket sales to be sort of flat to slightly up in '12, and Michael's comments earlier about sort of his expectation of trends, is the way we should be looking at it really is, is that the pricing is kind of flat and volume is up low single digits? Is that the correct way to look at it? 
Michael Rapino: Pricing on average ticket price, you mean? 
Benjamin Mogil: Yes. 
Michael Rapino: I mean in general, you can say yes. I mean, probably net overall, there might be a few pennies on overall average ticket price, history would say. But we don't expect any of our -- any revenue coming so much from the ticket prices going up. Now we might dynamically price it better and get some of the overall ticket revenue increase from the higher end of the market. But in our assumptions, we would believe that both ticketing industry and concerts look to be able to end this year in single-digit growth, when we were probably predicting a flat year. 
Benjamin Mogil: That's great. And then sort of the one quick follow-up. If you took the -- if you take the year-end deferred revenue balance and you strip out the impact of the Olympics, but then you add in the January -- the strong $87 million in January, are you running about flat, call it, January of '12 versus December of '10? 
Elizabeth Willard: Yes. I mean, yes, that's the right answer. Flat to slightly up based on what we saw in January. 
Benjamin Mogil: And even excluding the impact of the deferred Olympics? 
Elizabeth Willard: I mean, remember that's not significant because most of those earnings were recognized in '11. So it's really... 
Benjamin Mogil: The Olympics don't show up as a deferred revenue account for you? 
Elizabeth Willard: No, it's not substantial because we were recognizing those fees as we've delivered our service. 
Michael Rapino: Remember, it's not a concert. It's a ticket. 
Benjamin Mogil: Yes, of course. Of course. But are you not withholding the -- you don't hold the cash on behalf of the Olympics for the event, or that goes right back to them. 
Elizabeth Willard: No, it's turned over fairly regularly, just like most of our venue clients. 
Operator: And we'll take our next question from Doug Arthur with Evercore. 
Douglas Arthur: Yes, Kathy, I'm wondering if you can be a little bit more specific on the increase in corporate expense. You mentioned litigation and incentive comp. I mean, litigation was a fairly significant factor in Q3. Was it as significant in Q4? 
Elizabeth Willard: No, it's not the same impact. It's still a substantial number, and these are not -- it's not a settlement accrual like we did in Q3. It's ongoing litigation cost for that particular case is getting -- heating up. It was pretty much dormant in 2010, and so we're incurring those costs in -- more of those costs in 2011. 
Douglas Arthur: And should that be expected again in Q1? 
Elizabeth Willard: Yes. I mean, you can see more of the details in the K, but that case will be continuing through 2012 and the future. 
Douglas Arthur: Okay. And then just a question on e-commerce profitability in the quarter. Big revenue growth, flattish AOI, anything in -- specifically there? 
Elizabeth Willard: Again, that's more along the lines of the investment in the social and mobile platforms. 
Operator: [Operator Instructions] We'll take our next question from Bishop Cheen with Wells Fargo. 
Bishop Cheen: So we covered litigation cost. Growing competition in the ticket distribution and services business, and without asking specifically about any incumbent or would-be competitor, can you just give us your thoughts and color on what you think the competitive landscape looks like going forward? 
Michael Rapino: Well, I can -- we'll have to use 2011 as a basis to answer that. I think there was concern 12 to 18 months ago about Ticketmaster's ability in this evolving technology landscape to continue to compete. And we know -- and I think we hopefully put a lot of that to rest right now with a 102% renewal rate. So I would say that we're always humble, we're always waking up every day paranoid, we're making sure we're equipped to handle the future, but we think that what we're doing with master [ph] and what that team has done over the last year of injecting a new life into that great platform, that we're very, very confident we will continue to maintain our leadership position on the ticketing side, from a technology side as we start to roll out our apps, our mobile kind of extensions in that business. We think that's going to continue to grow and excel that business. So as we're holding on to the overall business and spending and reinvesting in our core technology, we're very confident that between now and our new technology rolling out over the next 2 years, that we will continue to be by far the innovator and the leader in this space and our scale will continually be a competitive advantage to us. 
Bishop Cheen: Fair enough. Housekeeping question. You expect to file the 10-K by when? 
Elizabeth Willard: It will be -- it's being filed today, if it hasn't already. 
Operator: And we'll take our next question from John Healy with Northcoast Research. 
John Healy: I wanted to ask a little bit more about the rollout of dynamic pricing. Michael, maybe you could kind of walk us through the process that, that has to go through with getting the artist sign-off on that? And as we close the year, how many venues actually had it this year? And what do you expect for 2012? 
Michael Rapino: Well, a few questions. On dynamic pricing, we look at it in a few ways, but let's call it the most important way, which is the Pricemaster tool, which is our joint venture with MarketShare that powers that world-class technology. As we have mentioned in earlier calls, we spent 2011 finalizing that technology, the interface, making it very easy for anyone to use. I mean the UI is incredibly simple for a venue manager, promoter or manager to use. So '11 was about getting it developed, testing it, and we tested it amongst sports teams and concert venues with great success, both in the interaction of it and the end result. So we're looking in 2012, obviously, it's always easier to get adoption in-house. So it's easier for us to walk across the street, educate all of our promoters on this incredible tool and get them in their hands and on the computer using and selling it for 2012 concert season. So most of our promoters have been through all the training, understand the tool, can easily sell it now when they're talking to the artist about their summer season. And obviously, because the artist controls the ticket price in the end, it's a conversation with the artist to make sure that they're comfortable having an ongoing, scalable, flexing ticket price that's matching market demand. And we've had a great success, I think. I don't know if Irving is still on, but I know he's talked about it publicly before, that his roster of artists all understand and support the concept. So we're very excited that 100 shows already have artist approval, and we'll be testing our dynamic pricing fairly deeply on the concert side this year. 
Operator: And there are no further questions. I will now turn the call back over to Mr. Rapino for closing remarks. 
Michael Rapino: Great. Thank you, everybody, and we look forward to talking to you in May. 
Operator: Ladies and gentlemen, this concludes the Live Nation Entertainment Fourth Quarter and Full Year 2011 Earnings Call.